Operator: Good day ladies and gentlemen and thank you for standing-by. Welcome to the América Móvil second quarter 2012 earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today's presentation, Mr. Dan Kwiatkowski. Sir, you may begin.
Dan Kwiatkowski: Thank you, Howard. Good morning. This is Dan Kwiatkowski of UBS and I would like to welcome you all to América Móvil second quarter 2012 conference call. On the line today, we have Daniel Hajj, CEO of AMX; Carlos Garcia Moreno, the CFO; Oscar Von Hauske, COO and Daniela Lecuona, IR manager. So without further ado I would like to pass the call over to them.
Daniel Hajj: Good morning everybody. Thank you, Dan. Carlos is going to make a summary of our -- thank you first for being in the call and Carlos is going to make a summary of the second quarter results.
Carlos Garcia Moreno: Hello thank you Daniel and Dan. Good morning everyone again. Thanks to UBS for hosting the call today. The stabilization of financial markets had come about at the beginning of the year and had led to a (inaudible) of the Latin American currencies provided to economic activity in the region; came to an end at the beginning of the second quarter on renewed concerns about the global economic growth and the economic situation of some European countries. In some Latin American countries like Brazil, the economies slowed down more intensifying competitive pressures. In spite of the volatility in financial markets, we managed to post solid gains in the quarter that topped all estimates, bar none, both in the wireless and the wireline platforms adding 5.9 million wireless subscribers including 1.1 million that came with the acquisition of Simple Mobile in the US and 1.7 million RGUs. It is important to note that we can provide triple play services, everywhere, all in Mexico and Argentina, over half of the RGUs net additions obtained through the sale of triple play bundle and nearly one-third through double play packages. The net addition we mentioned before allowed us to finish the quarter with 313 million accesses, including 252 million wireless subscribers, 30 million landline, 16 million broadband accesses and 15 million PayTV clients. The number of purchases accesses increased 7.8% from the earlier quarter; with PayTV clients increasing 30.9% and broadband accesses 15%. Our Brazilian operations added 1.3 million RGUs, accounting for approximately three quarters of the overall RGU additions. At the end of June, we’ve had 26.3 million RGUs in Brazil, 22.7 million in Mexico and 3.9 million in Colombia. On the wireless platform, Mexico led the way net of total additions with 1.4 million, slightly ahead of Brazil. We finished the quarter with 58 million -- 53 in Brazil. In Colombia, we had 29 million subscribers (inaudible) and Argentina 20 million, followed by Peru and Central American and Caribbean with 20 million. During the quarter, we continued to grow well our corporate base almost everywhere with the exception of Brazil. Postpaid net addition totaled [65,340,000] homes even after 200,000 disconnections in the last quarter. Our consolidated this quarter revenues increased 9.3% in Mexican peso terms. On wireless revenue, they increased 14.1% and fixed line revenues at 1.7%. The comparison of these figures, particularly the latter, with those observed in the first quarter become difficult because of the sub relative movement, the value of various currencies versus the Mexican peso and in particular the 6.1% the devaluation of the Real, versus the peso in the quarter. At constant exchange rate, revenue overall for the period was 6.3% led by mobile data revenues that increased 30.7% and PayTV revenues that were up 23.4%. Fixed line data growth came in 8.0%. Wireless ARPUs rose practically every quarter on the back of mobile data; Brazil was the exception. Wireless Voice revenues reflected the impact of the reduction of mobile termination rates particularly in Brazil. On the fixed-line platform, we continue to see the decline of long distance revenues, partly on account of heavy reductions mandated by the government. In Mexico, Telmex continued to pass on to consumers, as I read at the beginning of the year, the full benefit of the reduction in mobile termination rates enacted last year; but Telcel is rapidly getting back those revenues that it lost on interconnection. EBITDA came in at 56 billion pesos and 3.1% higher than year before. Credit cost generally grows faster than revenues on account of increased energy charges, rapid postpaid subscriber growth and higher accounting costs and the spillover impact on operating expenditures of the major investment effort we are undertaking to expand and modernize our networks. The EBITDA margin declined two points to 34.1%. In addition to we recently mentioned before, we have reiterated in the past, the reductions in the margins also takes the new confirmation for our business lines, with Tracfone now and our PayTV operations which are lower margin businesses becoming increasingly relevant. The depreciation of the Mexican peso and other currencies relative to the US dollar resulted in a foreign exchange loss of 50.1 billion pesos; that resulted in our reporting a comprehensive financing cost of 17.2 billion pesos. The foreign exchange loss was smaller than the gain reported the prior quarter, so the balance for the first semester was a net gain of 3.2 billion pesos. We registered a net profit of 15.3 billion pesos and operating profit of 39.1 billion pesos, but it was practically flat from the year ago quarter. Our net debt stood at 351 billion pesos at the end of June, increase by 29.7 billion, since December and that’s equivalent to 1.4 times EBITDA. Our capital expenditures in the first half of the year totaled 53.2 billion pesos and our acquisitions of equity interest including both KPN and Telekom Austria, 67.0 billion pesos. While we bought back 12.7 billion pesos of América Móvil shares. These outlays added up to a 133 million pesos. We will begin to consolidate our investment in KPN and Telekom Austria under the equity method beginning in the third quarter of this year. With that, I would like to pass it back to Dan and open the floor for questions. Thank you.
Daniel Hajj: Thank you Carlos. Howard, can you please put together the roster for questions please.
Operator: (Operator Instructions) Our first question comes from the line of Ric Prentiss [Raymond James]. Your line is open sir.
Ric Prentiss - Raymond James: With 3G and mobile data continuing to increase; I was just wondering if can update us first on what you are seeing as far as the cost of smartphones; have they gotten down to the $100 level, till you get for good smartphones? And the second question is on your 3G networks, can you update as far as how much usage you are seeing per customer? Have you seen a significant increase in the Megabytes used per month yet? Thank you.
Daniel Hajj: Well, on the 3G handsets of course we have been seeing a lot of reductions of prices but as you see reduction of prices in some handsets you saw also new handsets at high level price. So what we have been seeing is that with those new prices there is new people who is gaining or there is still a lot of people who want the high-end handset. So still it’s more costly, the (inaudible) for us is the growth in postpaid, but being more costly, because there is little bit more on subsidy, because the handsets are much better handsets than they used to be. So that's one question. In other places, we have been seeing intensifying competition also, so the SAC has been growing a little bit and the second question which was……
Ric Prentiss - Raymond James: The usage?
Daniel Hajj:
Ric Prentiss - Raymond James:
Daniel Hajj: Okay, well, what's happening in Brazil, in Brazil as Carlos was saying the economy has been slowing down a little bit and the competition has been very soft, competition has been intensifying and that's really the reason why ARPU and margins have been going down, let's say in long distance calls maybe year-over-year the reduction on prices has been maybe $0.54 so there's a lot of lot competition there and we hope that the competitors will be more intelligent and the market will be more rational but that's something that I cannot tell you. In Brazil, we have been investing a lot so we are prepared for competition and that's really what is happening with ARPUs and margins there.
Ric Prentiss - Raymond James: My second question is on CapEx. Could you give us an update on your expectations for CapEx both the 4G auctions and post your recent conversation with Anatel?
Daniel Hajj: In Brazil, you are talking only about…
Ric Prentiss - Raymond James: No, in general.
Daniel Hajj: Well, let me tell you about Brazil. In Brazil, we have been investing a lot and our budget is also a good budget for investment. We don't think we need to invest more. We don’t agree with the measure of Anatel, how they do their measures because the measures let's say in Sao Paulo we have the second best network there is available, they don't measure the quality of the network, they measure the quantity of calls through their call centers. So we don't agree on that. We have one of the best qualities, we have been improving a lot on qualities but we have been working a lot last year and this year and I don't think we need more CapEx. We show them what we are going to do on the CapEx for this year and I think they are happy with the number that we show them but that's not something that we are going to increase, its something that we have been doing now for this year and what we are going to do till the end of next year. So that's mainly what is happening, and in the CapEx through América Móvil what we said is that we are going to invest around $30 billion in three years. That was last year, this year and the next one, and I think we are more or less on that range. We don’t think there is going to be big difference on what we think for the rest of this year and the next one.
Operator: Our next question comes from the line of Michel Morin from Morgan Stanley. Your line is open.
Michel Morin - Morgan Stanley: Carlos, I was hoping to drill down a little bit more on Brazil and in particularly the service, the mobile service revenue growth which was decelerated significantly. We know that there is the MTR cut and I was hoping you might be able to help us sort out how much was the MTR cut and how much was everything else including the macro down slowdown that you alluded to?
Daniel Hajj: I think there are three things that you're saying. The slowdown on the economy people are consuming a little bit less. The cost of the MTR, I don't know if Carlos knows exactly what is the percentage of the cost on the MTR? And then the competition is intensifying. So that’s really what you're seeing in Brazil and what is happening in that market. All overall, you have to see also one important issue that in the wireless side, we’re not accounting on the long distance. So besides the other one, all the long distance through the wireless is through Embratel because it’s where we have the license. And so that’s something where you’ll need to compare apples-to-apples. So in the long distance is out of Claro and all the other steps. I don't know Carlos if you know exactly what.
Carlos Garcia Moreno: Incoming revenues, revenues from incoming traffic, came down by 16%.
Daniel Hajj: Only on MTR?
Carlos Garcia Moreno: On account of MTR, incoming revenues, it came down by 16%
Michel Morin - Morgan Stanley: Okay. That’s very helpful and then if I may in terms of margins, you alluded in the press release to the impact of subsidies on smartphones, can you clarify then that you are completely expensing, you are not capitalizing any portion of the subsidy on your subsidies?
Daniel Hajj: Michel, we have had the same policy from day one. We always expense the subsidies on phones. We do not amortize subsidies all the time.
Carlos Garcia Moreno: That's different than some competitors and we don’t only do that in Brazil, we do it all through Latin America. So they subsidy through in market forms are total --- it’s an expense we don’t cut.
Daniel Hajj : And it’s been long standing policy of América Móvil from day one of América Móvil.
Michel Morin - Morgan Stanley: And Carlos, if you had to help us out a little bit in Mexico to understand the main drivers of the margin erosion there you had good growth so it’s a little bit surprising to see the sequential decline in margin, would you say that it’s all because of the --- would you say that it’s all because of the subsidy to smartphones?
Operator: Okay, we are now connected.
Dan Kwiatkowski - UBS:
Operator: (Operator Instructions)
Daniel Hajj: We owe you that, the answer in Mexico, Dan.
Carlos Garcia Moreno: Well before going on with the answer, we are ready to make a proposal to UBS for some very good communication solution that we may be offering now that we have a company anyway the question which I had was on Mexico. In Mexico, we are seeing the following. On the one hand, we are seeing very strongly recovery on the Wildmare side. We are seeing MOUs continuing to rise. They got 267 minutes and they were the highest ever in Mexico and we continue to do very well in postpaid and we had a 20% of net additions were postpaid and these are increasing, the net additions of this year were almost 25% higher than what we had last year. So Mexico continues to do very, very, very well increasing traffic, MOUs in gaining better share of the postpaid market. The latter part has a lot to with our data capabilities and obviously the increase of data services in Mexico have continued to be very strong. It's 30% right now. And so the data represents now approximately one-third of service revenues in Mexico already. So Mexico, on the mobile front doing very well and Telcel recovering from the loss of interconnection revenue that we had last year. On the fixed line side, what we are seeing is Telmex has continued to pass on to the public, the benefit of the deduction in the termination rates that were enacted last year and that explains a part of the reduction of revenues of Telmex. Essentially something the company agreed to by strong will at the beginning of this year and it's passing on the full benefit which is by the way it's something that we hadn’t seen in any other countries (inaudible) in Europe. One thing that is important in terms of what had an impact on EBITDA. Well, those things that we have mentioned before which is as we continue to invest, there's a lot of spill over into operating expenses of the investment program. So that is something that is going to be an important factor we continue for some time. There's obviously the effect of the currency depreciation. That was important, the peso vis-à-vis the dollar and that's obviously has an impact in subsidies because we have not only adjust our prices, as rapidly as the movements in the exchange rate. The movement was very, very quick. So they typically have an impact on this as well. And then we have, given market conditions, we have decided to increase our contributions to the pension funds of Telmex. So that also was an additional cost that is bearing on the EBITDA of the quarter. So all in all, you know, the mobile side is doing well, data very well. Postpaid we continue to gain share. Smartphones, we continue to sell more smartphones and as part of the subsidies of smartphones, given the currency depreciation and the fast pace of growth of postpaid was one of the things impacting EBITDA on the wireless side. And on the wireline side, it’s basically the continued reduction of the revenues as we devolve to clients the benefits of the termination rates and we have now the spillover of the investment, which is huge at the level of Telmex. The investment that Telmex is doing today to expand fiber data is really important and finally we have the effect of the labor provisions that we have increased given the current conditions in the market.
Operator: Our next question comes from the line of Rizwan Ali from Deutsche Bank. Your line is open.
Rizwan Ali - Deutsche Bank: Two questions, one is about recovery in Brazil, I mean do you still see overall revenues and EBITDA decreasing in Brazil from the wireless side of the business and so I’m just wondering whether we should expect any price (inaudible) into the second half of the year which will allow you to stop decreasing your EBITDA and wireless revenues in Brazil. And second question is, you're now well above net debt to EBITDA target of one and do you plan to slowly bring down the leverage to closer to one?
Daniel Hajj: Well, in Brazil, the reason as we just said, it was on the termination rate. Its part of the (inaudible) on the revenues and on the margin. It’s on the termination rate plus there is a slowdown in the economy plus the intensifying of some promotions and in the commercial side. So I think till the end of the year, there is still be a lot of competition and well I hope that we’ll be more rational, the markets. But that's something that I cannot tell you right now. But I think the basis that we’re doing in Brazil are good. We’re investing; we’re doing very good on the quality. We’re going to invest in LTE. Our data revenues are growing also in wireless. So, I think in the long term, it looks like we’re going to be in good shape in Brazil. And on the other side, the phone company adding TV and adding -- I remembered also Rizwan, what I tell a few minutes ago. In wireless we don’t account for the long distance and it’s important to compare that against our competitors and plus what we are doing in TV and broadband, I think all over, all in Brazil we are doing fine. Of course we need to do big efforts in the wireless side, but all overall I think we are doing fine. And in the -- Carlos can talk a little bit about that.
Carlos Garcia Moreno: As you recall recently we have had a conference call a few weeks ago basically to discuss the acquisitions that we have had in Europe and we provided some guidance there. We basically said as we intended to remain within the limits that the rating agencies have imposed on us in terms of leverage. But we also said that we expected distributions to shareholders to remain roughly around the same average that we had the last three or four years. So I think that’s basically what we are looking at. You know we have an eye on leverage, but we have an eye on distributions as well and it’s been (inaudible) you can come up with your own numbers. We are not expecting any deviation from this – any deviation from this guidelines anytime soon.
Operator: Our next question comes from the line of Kevin Smithen from Macquarie. Your line is open.
Kevin Smithen - Macquarie: Thank you. It looks like you have accelerated the pace of postpaid sub growth in Mexico and Colombia and that’s partially hitting the margins there. Can you give us a little more color as to what the total number of smartphones shipped in Q2 was versus Q2 of last year and may be if you could give us the difference in ARPU and churn between some of these postpaid smartphone subscribers and your prepaid voice subscribers in Mexico?
Daniel Hajj: Say the second question again. I don’t understand the second question?
Kevin Smithen - Macquarie: Well I can understand, obviously your current subsidy for adding these postpaid smartphone subscribers, but in the future you should get an ARPU and a churn benefit from them. So can you tell us like a little bit what is the ARPU of a smartphone subscriber been over the last year or so that you had to service and then what is the churn likely to be on those subscribers? In the US we have seen obviously big 80% increase in ARPU and about a 30% churn reduction, want to see you know kind of what that's looking like in Mexico thus far?
Daniel Hajj: Well let me explain what is happening. What is happening is that in terms of postpaid we are growing on the smartphones a lot and then we are selling new plans with bundle included okay. So that's helping us on the – and the big data has been growing. I think we right now in Mexico, 30% of our revenues are data. So those are well going very well where every time people is moving towards smartphones. Almost, almost all the subscribers or the customers are getting data plans. So I think that has been very good and on postpaid what we are doing today on postpaid -- I think postpaid is going to grow a lot on data. It's starting to grew at this time and what is happening is that this $100 or $150 handset is what we are moving in the postpaid side. So they are getting better phones, smartphones or good feature phones let's say; I am sure that the prepaid customers are going to start to use the data and mostly in data they are going to use social network and those types of things. So I am sure that in the next two, three years that prepaid type is going to increase a lot on data, so that's the way we are seeing. Of course, your question is on, if we are spending $500 phone on prepaid and then is not using data and is churning, that's not happening. In the prepaid side, we are not, our subsidies has been very low so we have been very careful on the subsidies on the prepaid side. And I think if we put smartphone in the prepaid side and in the future they are going to use a lot of data. That's where we are seeing things and it’s exactly the same in Mexico and in Colombia.
Kevin Smithen - Macquarie: The question is really what, on the postpaid side if you are selling a phone for $150, how much additional ARPU are you going to get over the lifetime value of that subscriber? And you are going to have an initial hit as you add the subscriber to margins, but overtime you should see ARPU and ARPU go up and churn come down; at least that’s what we’ve seen in the US and Europe. What can you say about this?
Daniel Hajj: Well, ARPU is rolling all around in Latin America. So you see that ARPUs are growing and it’s because of the postpaid. So in one side, we are growing in the data, but in the other side well, there is in some places we’re stable in the voice. So that’s what you have and we are selling, its will be very difficult, because today we are selling like bundle plans, so we don't know exactly how much is on data and how much is on voice. But at the end of the day, everybody is I think 95% of the customers are getting plans with voice and with data included, okay. You could see that ARPUs are growing all around Latin America; exactly I don't have the numbers here.
Operator: Our next question comes from the line of Walter Piecyk from BTIG. Your line is open.
Walter Piecyk - BTIG: Daniel, can you give us an update on LTE, are you still planning on launching in Mexico City in September and if you have any other kind of rollout timeline for when you will be throughout most of Mexico with LTE? Thank you.
Daniel Hajj: I think it’s being delayed a little bit, but I think in the fourth quarter we can see some LTE products in Mexico. The rollout has been good. We want to train well. We want to have a good quality and that's why we are delaying a little bit. The launch of it, I think at the end of October, beginning of November we could start to seeing some advertising in the market.
Walter Piecyk - BTIG: And you’ll start with phones or internet devices or WiFi devices that……
Daniel Hajj: We are going to start with dongle and really at the end of the year then we will also (inaudible).
Walter Piecyk - BTIG: And then you also talked a lot about the….
Daniel Hajj: No, not voice phones, sorry, not voice.
Walter Piecyk - BTIG: Got it. You talked about the postpaid success in Mexico, I know we don’t breakout of gross adds; but obviously prepaid is still the vast majority of the net adds in Mexico and most of these markets. Can you just talk about smartphones for that market, I mean, you talked about people subsidizing these expensive phones, but what type of smartphones are those prepaid customers buying? If you're only offering a small subsidy, do these customers buy an iPhone 4S, is the 3G Apps selling to prepaid customers, because at 4,000 pesos it’s still I think probably fairly expensive for a lot of those customers?
Daniel Hajj: Yes, but as I said in the prepaid side, we have been very careful. We are really looking on the subsidies. We are taking every month what’s the subsidy on the prepaid side and, this business is profitable. So I am not subsidizing 3G yet in the prepaid and they’re not using or they’re not consuming. So, and I think that we are selling these type of phones, because in the future, I am sure, like in voice, data is going to be very important in the prepaid side. But I am not subsidizing a lot or very small amount of the handset in the prepaid side. The handsets are -- we have handsets at a $100. We have handsets of feature phones at $60, where you can use your mail, you can do social network. So there is a lot that we could do more in the prepaid side.
Walter Piecyk - BTIG: So what I see in your stores, those prepaid customers, this 4,000 peso, 3GS…
Daniel Hajj: Yes.
Walter Piecyk - BTIG: Are you saying the customers are basically not opting for that, but opt for that 60 peso the 100 peso whatever it is it’s cheaper other smartphones at this point or are they still buying the 4,000 peso 3GS?
Daniel Hajj: They are buying both, they are buying different that -- we have very good customer in prepaid; our good ARPU customers in prepaid maybe 300 pesos, 350 pesos per month, so it’s not bad; $30, $25, $20 and there is other ones that still does not have the consumption, but we are selling both and what I am saying if you want a high end or high price handset then you have to pay for that; I am not going to subsidize that handset for you in the prepaid side.
Operator: Our next question or comment comes from the line of Citigroup Alex García from Citibank. Your line is open.
Alex García - Citibank: Just very quickly, can you update us on the restructuring of your consolidation of your three assets in Brazil; just wanted to if you could share your opinion; if the suspension of the Net Serviços delisting; if that delays your plans for Brazil and if the competition that you just mentioned that is getting transferred, forces you to accelerate that consolidation? That will be my question. Thank you.
Daniel Hajj:  Well, I think what we are doing in Brazil is we are doing the integration of the three companies; of course still the three companies are separate, but we are doing as much as possible on the integration, as much as we can on the integration. Net Serviços in purchasing, in the commercial side, in technological side also, we are doing one network. We have convergence in the commercial side. So we are doing well and you can see that we are doing well because with TV and broadband is doing excellent, and I think that I am sure that wireless is going to be very --- wireless data is doing also very good and at the end of some time, I think all-over-all in Brazil we are going to be very, very strong. So I think we have the company, we have the rates, we have a very good TV company, we have a very good long distance company brand. We have a satellite company, we have cables, we have broadband and then we have wireless. So I think in Brazil we have been doing a very good job integrating these companies and I am happy in the stage where we are today.
Alex García - Citibank: Thank you and just to follow-up if I may regarding the discussion that since they day one, América Móvil does not amortized the handset subsidy, does that work also the handsets subsidies for corporate clients or just individuals?
Daniel Hajj: In the handsets, we do expense on everything, everything. In the handsets we do as an expense. All the countries, all the markets, its (inaudible) in markets, every place.
Operator: Our next question comes from the line of Vera Rossi from Barclays. Your line is open.
Vera Rossi - Barclays: Can you talk about Brazil again, follow-up on the wireline business; your revenue has grown 7.6% in wire line and we are seeing other companies with big declines between like in the 12% to 13%. So first, are your customers taking more triple play services and who do you think in what regions do you think you are being more successful gaining market share , in Sao Paulo or outside Sao Paulo? Thank you.
Daniel Hajj: Well, as Carlos said, we have been doing a lot of triple play and double play and that has been very successful in their market where is NET. On the other side, we have been also doing satellite plus wireless data and wireless voice. So we have been really successful on the fixed line also, with broadband, but Oscar can tell you a little bit more about the market share and how we are doing now in the fixed side.
Oscar Von Hauske: As we mentioned that, we are successful in the triple play side and around 51% of the customers already have triple play. 22% has double play. Single play is different so the packages and the bundles is important brought in the marketplace. So we are launching all the triple play projects in all the regions, in all the cities that NET has a presence and as well pay TV and DTH is growing pretty fast. So we already have 2.6 million pay TV customers on the DTH satellite product, and another threat for us is that as Carlos and Daniel mentioned the long-distance market is increasing a lot due to the change in rates. So we need to roll more, and lock out revenues and Pay TV and broadband to compensate the decline in long distance. We've been doing this successfully in the past. So the long distance market is accelerating the decrease. On the last quarter, we see that the minutes are going long distance but the prices are declining and in business view, as Daniel mentioned, due to our competition more in mobile traffic. So we’re working in all the fronts and in corporate it’s a lot of price pressure on entry price; (inaudible) successful networks based on networks but we've been facing a lot of price pressures on any new contract. So what we’re doing is to how we can bring more value added to the connectivity. So we’re moving on to cloud computing, to data center. We’re going to open a new data center in Sao Paulo, in La Paz next month. So we will have more meanings to sell, we have value added services. So I think the combination of the decline in long distance and the increase in local, Pay TV and broadband, we will have a good position in the marketplace.
Daniel Hajj: And adding something to Oscar’s comments is that really in the TV side, we have the best products and the best quality in Brazil. So that’s really the reason why we’re growing because we have the best product, the best content, the best quality and in broadband, I think we’re exactly the same. So that is why we are growing in that market.
Operator: Our next question comes from the line [Stanley Martinez]. Your line is open, sir.
Unidentified Analyst: Just a couple on TracFone if I could. Could you say what proportion of service revenue, data comprises within TracFone now? You always disclosed the minute of use and that continues to grow but as data becomes more important and particularly as you do your data wholesale deals with some of the other major carriers. Do you think something like the data sharing tariffs that we see from the postpaid carriers here in the US might be applicable to TracFone, and maybe help you drive usage in revenue market share versus prepaid carriers in 3G and 4G environment similar to what you did successfully in 2G and voice?
Daniel Hajj: I think TracFone has been a very successful company. Data is still small but we are selling very good plans in the Straight Talk brand and that include a lot of data. So I think in the future, we’re going to grow a lot more on data and that is exactly what is going to happen. We have different segments. We have the SafeLink, we have the Simple Mobile brand and then we have the TracFone. In the TracFone and NET10, we don’t have a lot of data but in the Straight Talk brand, we’re including data in our packages. So and this is the brand that is growing and I think grow a lot in the next months. I think it’s is going to be very important date for us.
Unidentified Analyst: Daniel, could you just mention that slightly, is it less than 10% of service revenue growth and again if you think about maybe what you can do to try to spare adoption and to drive your differentiation even further again some of the prepaid carriers, you know, that own their own networks. How did something like share data tariff package similar to you know, what we see in AT&T and Verizon in postpaid fit in to that equation potentially?
Daniel Hajj: I don’t have the number here with me, but you could see that the new plan in the Straight Talk plan includes data as (inaudible) voice, no and it’s a very, very successful plan. So we have been growing a lot, but still more than 60%, but still very, very small the number. So what I am sure that in the next months, we are going to have a good growth there. So thus I am telling you it’s in our Straight Talk plan. We include voice, we include SMS and we include data in the pack.
Operator: Our next question comes from the line of (inaudible). Your line is open.
Unidentified Analyst: Just to get it clear, you mentioned that your mobile service revenues in Brazil, they do not reflect the low distance revenues. I want to double check that information and also want to ask you whether your ARPU numbers for Claro Brazil do reflect long distance revenues generated by those customers as to be able to better compare apples to apples to what the other operators are seeing?
Daniel Hajj: When you look at the aggregate number of revenues, we obviously are including everything. I think that’s the right number to look, the total revenues because the only one that I think is really comparable to what everybody else is showing, might be showing. Remember that, that Claro did not have a long distance license. So the scheme that we have had in place for a long time is one; whereby Claro does the core billing of long distance services on behalf of Embratel. So where the clients pay, Claro's clients receive the service and get an invoice. The actual allocation of the revenue is different because that part that corresponds to long distance services is booked as and Embratel revenue, not as a Claro revenue.
Unidentified Analyst: Okay so the ARPU number for Claro does include whatever they consume in terms of long distances even though part of this revenue is passed on Embratel, right?
Daniel Hajj: No, but it could include the interconnection fee associated with that, but only that.
Operator: Our next question is a follow up call from Mr. Alex Garcia [Citigroup]. Your line is open
Alex García - Citibank: Just still on Brazil, we are seeing the (inaudible) five are into your Networks and planning to launch IPTV brought on there, let's say where their high end consumer are in Q4. So I was wondering if you have any plans to upgrade (inaudible) network to the DOCSIS 3.0 and if you do, if you could give us an estimate on how much that would cost to upgrade a client to talk to (inaudible).
Daniel Hajj: We will upgrade in (inaudible) to DOCSIS 3.0 on the high end of the series. So that’s why we could -- we have the reliability to deliver 100 megabits per second in broadband. We've been selling that product around only 3 or 4% as a 100 megabit on all the base of net services. So we are doing that. We are doing in the high end of the network. The cost of that you know, it’s a mix. We don't have an estimated cost unit, but I think it's economically better than fiber silicon so I think that we have an advantage to operate DOCSIS 3.0 using copper cables.
Operator: Our next question comes from the line of Mr. Michael (inaudible). Your line is open.
Unidentified Analyst: I just wanted to see if you could talk to us a little bit about Argentina. We haven't really talked about that market yet. Obviously there's some macro challenges there. So if you can give us a bit of an update on what you are seeing in particular as it pertains to how that's affecting your margins?
Daniel Hajj: Well, what is happening in Argentina is that we have a little bit of an increase in our costs and the challenge is to grow the revenue also at higher pace. We are seeing a really slowdown in Argentina, but we have the company under big control cost and in the market we are doing well. We are growing and we are upgrading some of our customers to a better plan and it's more or less what is happening in Argentina. So Argentina is our top market today because there's a lot of pressure on costs, but the low down has been also in the last three or four months you could see there's this slow down in the economy and that would make us to grow a little bit less, so that's what you are seeing there. We have been good in the corporate side, in the big corporate side and in the wireless; we have a very good cost control in Argentina. We are growing in the postpaid side; we’re growing in the prepaid side. We’re being very careful on the (inaudible) and we’re not increasing prices at this moment.
Unidentified Analyst: Okay, and then just if I can come back to Mexico quickly, you know, the revenue performance has been very solid and you made some positive comments earlier. Do you feel that you are gaining share or is this really the economy that’s kind of lifting all boats?
Daniel Hajj: It's difficult to say, we don’t have the numbers of the other customers. I don’t know. I don’t have the number, but I think in the postpaid side, we’re gaining market share.
Operator: Our final question comes from the line of Mr. Christopher Buck from Barclays. Your line is open.
Christopher Buck - Barclays: I am wondering if you can give us a little bit of color on your funding plans. I noticed that on this quarter, your bank lines grew considerably and I assume that was to fund some of the acquisitions and I am just wondering in July, you issued several bonds and I am wondering if you plan to use some of that capital to repay revolvers or if you can make other comments about what we should expect for the balance sheet in the third quarter.
Daniel Hajj: Christopher, only to add something to the question of (inaudible). What is important in Mexico and you could see that is the number portability and we’ve been gaining it every month consistently in number portability and it has been accelerating that in prepaid and in postpaid. So that’s where you could see where the margins is going and what’s the preference of the customers. So and Carlos can tell you about?
Carlos Garcia Moreno: I think we raised roughly $3 billion over the last month and all of that is going to be utilized to pay down the liquidity facilities that we had and we had drawn on to finance the acquisition of KPN and Telekom Austria. So by the end of next month, I think all of that will have been fully repaid and to the extent that we see opportunities in the market, we may want to – we will be able to do that if we want to advance on some funding for the amortization of (inaudible) of our facilities. The fact of the matter is that they wouldn’t really have any more maturities are fairly significant, but if there is something that makes sense on the point of view of that management, we may be able to do something and we don’t really require any more capital at this point.
Daniel Hajj: Thank you all for being in the call and thank you Dan for arranging this. Thanks a lot. Good bye everyone.
Operator: Ladies and gentlemen thank you for participating in today’s conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.